Operator: Good day, ladies and gentlemen, and welcome to the Tandem Diabetes Care Third Quarter 2015 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, today’s call is being recorded. I would now like to turn the conference over to, Susan Morrison, Chief Administrative Officer. Ma’am you may begin.
Susan Morrison: Thanks. Good afternoon, everyone, and thank you for joining Tandem's third quarter 2015 earnings conference call. Today's discussion may include forward-looking statements. These statements reflect management's expectations about future events, product development timelines, and financial performance and operating plans and speak only as of today's date. There are risks and uncertainties that could cause actual results to differ materially from those anticipated or projected in our forward-looking statements. A list of factors that could cause actual events to be materially different from those expressed or implied by any of these forward-looking statements is highlighted in our press release issued earlier today and under the Risk Factors portion and elsewhere in our most recent annual report on Form 10-K, quarterly report on Form 10-Q and in our other SEC filings. We assume no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or other factors. Kim Blickenstaff, Tandem's President and CEO, will be leading today's call. At this time, I'll turn it over to Kim.
Kim Blickenstaff: Thanks, Susan, and good afternoon, everyone. Joining me on today's call is our Chief Financial Officer, John Cajigas. The third quarter was an exciting one for Tandem as we continue to achieve new milestones and advance our business. We received approval for our first PMA product the t:slim G4 in September and we are now able to offer today diabetes community a choice of three differentiated Tandem pump options. It was an exciting achievement, but as anticipating the timing caused customers, as well as distributors to pause in their buying decision process as they evaluated with the FDA approval and launch of the t:slim G4 means to them. That being said, we are still able to demonstrate meaningful progress this quarter, including strong adoption and adding to our family of pump offerings, 35% gross margins, an increase from 31% in the second quarter, sequential reductions in our quarterly cash burn and a 55 point improvement in our rolling 12-month operating margin. Looking forward, our focus is a strong finish for 2015, but also equaling on 2016 and beyond by offering three unique products the t:slim, t:flex and t:slim G4 are leveraging our infrastructure while providing multiple solutions to the more than 3.3 million people in the United States who use daily rapid-acting insulin. Starting with t:slim, we continue to see a strong demand for this number one ranked product, which represents about 70% of our pump shipments in Q3. About half of our t:slim customers have consistently reported that they are new to pump therapy from multiple daily injections, which is encouraging as a sign that we are continuing to grow the insulin pump market. As our flagship product, we continue to invest more insulin to enhance the t:slim. We plan to file a 510(k) to reduce its indication from age 12 and above to age 6 and above by year end. We anticipate an approximate six month review cycle and it’s our goal that we receive clearance prior to this summer camp season in 2016. Also, we are providing continuous seasonal enhancements as Project Odyssey. We made meaningful progress on those web-based system that's being developed to allow users to update their pump software at home, similar to their smartphone. We're on track to file a 510(k) for this product by year end. The first half [release] for Project Odyssey will be to provide customers repurchase to t:slim prior to April 2015 with the opportunity to update their pump software to our latest version that we began shipping after that time. We will then be able to enjoy features and benefits that is being able to fill their cartridge of the pump. We historically discussed future applications for Odyssey turning on the Bluetooth radio within t:slim and t:flex, which will be our next focus for the project after we receive initial clearance. Turning to the t:flex pump, Q3 was our first full quarter of sales for the t:flex. This is an exciting unique product as it offers largest capacity reservoir available for people with greater insulin needs. Shipments of the t:flex pump were up nearly 50%, sequentially, which is meaningful as we believe last quarter shipments included a significant amount of pent-up demand surrounding the launch. The profile of our t:flex users still includes a majority of people with type 1 diabetes who are converting from an existing pump. However, our t:flex customers with type 2, they have primarily reported new to pump therapy from multiple daily injections. While it’s still very early in the launch, these trends indicate that additional insulin volumes has been an unmet need in the type 1 pump community. It also supports that t:flex provides significant type 2 market growth opportunity, but that will take some time for our marketing and educational efforts to begin to gain traction and expand this segment of the market. Finally, I’d like to spend some time discussing a new addition to our product portfolio, the t:slim G4. As a reminder, the t:slim G4 now offers people the same easy-to-use pump benefits as t:slim, with the integrated convenience of Dexcom's G4 platinum sensor for continuous glucose monitoring. It’s our first integrated pump offering and was designed to provide the diabetes community a feature that directly asked for since the launch of t:slim. It’s also allowing us to compete in accounts where we are strong supporters of integrated pump and CGM technology where we were not able to previously. Thanks for the tremendous efforts of our employees and a great working relationship with Dexcom, we were able to obtain FDA approval for this product in just over a year began taking orders and we’re able to commence initial shipments close to nine months following the approval. I’m proud of our ability to accomplish so much in a such short period as we want our customers to receive therapy they need with the pump they want us to just possible. In the third quarter, we shipped 486 t:slim G4 pumps, which does not included any pumps associated with people who opt to participate in our exchange program. As a reminder, we offer customers who had received either a t:slim or t:flex pump after August 1, an opportunity to exchange their pump for t:slim G4, if they notified is back to October 2. In total, we had 178 people opt to participate in the exchange program. These pumps will ship and the associated revenue and expenses will be recognized in the fourth quarter. John will discuss the exchange program in greater detail, but we believe that a majority of the people who wanted their pump in August have factored the potential availability of the t:slim G4 into their decision making already and so did not opt participating the exchange program. As anticipated, the quarter was also impacted by people who pause and making a pump purchasing decision either in advance of or following approval to consider the t:slim G4 among their choices. While the actual number of people who employ their purchasing decision is essentially not possible to quantify, there is an extraordinary customer interest in the t:slim G4 since we announced this approval. This may be somewhat of a catch up from the Q3 sales and September in particular from people who paused in their decision making and are now moving forward. I’m very encouraged by the significant increase in our preliminary orders in the queue for October that we are beginning to verify for insurance. In fact these preliminary orders reached a record high level on September and it looks like October is on track to exceed September. Since it’s early in the launch, we do not yet have visibility whether these pipeline orders will convert to shipments at a rate similar to our other pumps, but the early trends are very encouraging. Some level of cannibalization between products has to be expected, but as we are in the midst of two new product launches it’s difficult to forecast the breakout between products. For us it’s really about customer choice and people getting the pump with features that work best for them. We are now entering the strongest time of the year seasonally for pump sales with the added benefit of having two new differentiated product offerings. This helps us to drive our overall business as we continue to expand the market, capture market share, and leverage our infrastructure which is already evidenced by our improving operating trends. As it’s still early in the launch of t:flex and t:slim G4, it’s difficult to know whether the early adopters are people who would otherwise have chosen t:slim. That being said, we are confident to our start to Q4 and our ability to achieve our $70 million to $75 million sales guidance. I’ll now turn the call over to John who will provide more details on the Q3 results.
John Cajigas: Thanks, Kim. Good afternoon everyone. Overall, we are very happy with our Q3 results and the addition of the t:slim G4 to our product family. Our sales and gross margin performance continue to contribute to our positive momentum over the last 12 months despite the impact of the t:slim G4 approval and launch timing. And during that same period, we have continued to manage the growth of our operating expenses and a rate much lower than our sales. Looking at some of the metrics highlighting the progress of our sales and product shipments, first I’ll discuss the rolling 12 month progress followed by particulars for Q3. As we have discussed previously, looking at longer comparative windows rather than individual quarters is important to understanding the progress and trajectory of our business. This is even more important because of the t:slim G4 approval and launch timing that took place in the third quarter. Our sales for the rolling 12 months ended September 30 were $61.6 million, an increase of 46% from $42.1 million for the previous 12 months. This was mainly driven by the increasing productivity of our expanded sales force, as well as the first full quarter contribution of t:flex and the initial shipments of t:slim G4 in the last week of September. Pumps shipped for the rolling 12 months ended September 30 were 13,178, an increase of 42% from the previous 12 months. Our average productivity per territory over the rolling 12 months ended September 30 was 18 and year-to-date it was 17. The average productivity of our sales force for Q3 was 19 pumps per month per territory compared to 16 in Q3 of 2014. We expect the annual average productivity of our sales force to continue to increase based on our organic growth and anticipated market acceptance of t:flex and t:slim G4 pumps. Last year, our territories averaged at about 17 pumps per month for the full year while in 2015 we anticipate the average will increase to at least 20 pumps per month per territory. Looking at some of the details of Q3 sales and pump shipments, overall our Q3 sales were $15.7 million, up from $13.5 million in Q3 2014. Pump sales accounted for 81% of our total sales in Q3, which is in line with what we’ve experienced in recent quarters. With a series of new product launches expected over the next several years and pump renewal opportunities beginning in 2016, we anticipate that the percentage of our sales on pumps to remain high. In Q3, we shipped a total of 3,431 pumps, compared to 2,935 pumps in Q3 2014. Of the pumps shipped in Q3, 555 were the t:flex and 486 were t:slim G4. As of the end of Q3, our cumulative shipments have grown to more than 27,000 pumps. Capturing more than 13,000 pumps in the last 12 months demonstrates that we are rapidly becoming a significant player in the insulin pump market. To provide more color on the impact of our t:slim G4 approval and launch timing there are a few factors that were headwinds in the quarter. Our limited exchange program, the delay of pump sales in anticipation of and following t:slim G4 approval, a brief period where we suspended shipments to contact customers with open orders and the associated delay in distributor orders. At September 30, we deferred 700,000 of sales and 230,000 of cost of sales for pumps shipped in Q3 that will be swapped under our one-time exchange program announced in conjunction with the FDA approval of the t:slim G4. This program was a temporary modification of our normal 30-day return policy operating customers who received a t:slim or t:flex pump on or after August 1, 2015, a limited opportunity to elect to exchange their pump for t:slim G4. There were 178 t:slim or t:flex pumps exchanged under this program. As a reminder, the associated sales and cost of sales of these exchanges will be recognized upon the delivery of the t:slim G4 pump to the customer in Q4. In addition to the amounts deferred at September 30, we will also record the cost of the t:slim G4 replacement pumps shipping and other associated fulfillment cost. As Kim discussed, we believe that prior to receiving approval for t:slim G4 there was an increasing number of people who delayed their purchasing decision in early Q3, while anticipating its availability. Also on September 9 when we announced the FDA approval of t:slim G4, we temporarily halted shipments to proactively contact customers still in the insurance verification process with the a pending t:slim or t:flex order to inform them of the availability of t:slim G4 and ask whether they would like us to place a hold on fulfilling the current order, while they determine that the t:slim G4 was a better fit for their needs. This resulted in customers taking additional time to consider the t:slim G4 in their purchasing decision, as well as satisfying any additional insurance verification or approval requirements. Similarly it has also impacted typical distributor order patterns. However, as Kim commented we’ve seen a significant increase in consumer interest since receiving FDA approval for the t:slim G4 and our preliminary orders to be verified by insurance reach a record level in September and October is on track to exceed September. Moving onto cost of sales and gross margin, our gross margins for the rolling 12 months ended September 30 was 32%, up significantly from 24% for the previous 12 months. Our gross profit during that period doubled to $19.7 million from just under $10 million. Our overall gross margin for Q3 improved to 35% and our gross profit for Q3 was $5.5 million. The primary improvements in Q3’s gross margin related to increased production volumes and manufacturing efficiencies from leveraging our three pump products that utilize the same core manufacturing infrastructure. As a reminder, the physical aspects are very similar among our pumps with slight differences only in software and the radio. The t:slim G4 utilizes the proprietary Dexcom radio, while the t:slim and t:flex pumps use a bluetooth radio. The t:slim and t:slim G4 utilize the same 300 unit capacity cartridge, while the t:flex cartridge has a 480 unit capacity. Volume played a significant role in our gross margin progress with pump shift increasing more than 40% and our cartridges almost doubling during the rolling 12 month period compared to the prior 12 months. We also saw improvements in our pump warranty replacement rates, additionally as the manufacturing cost of our new pumps and refurbish pumps have decreased our actual cost for warranty incident is declining. Going forward as our sales for t:flex and t:slim G4 provide incremental contributions beyond our t:slim sales, we also expect our manufacturing infrastructure and gross margins to benefit from the additional volumes these products provide. Looking at the rest of our P&L, our operating loss for Q3 was $18.7 million, compared to $19 million for Q3 2014. Our operating expenses for Q3 were $24.2 million, compared to $23.4 million for Q3 2014. There was a $1 million milestone payment to Dexcom included in our R&D expense line in each of those periods. Our operating loss included non-cash expenses. During Q3, we recognized stock-based compensation of $3 million, compared to $3.7 million for Q3 2014. Our depreciation and amortization expenses for Q3 was $1.2 million, consistent with Q3 2014. On a rolling 12 month basis, our operating expenses only increased 12% year-over-year, while our revenues grew 46%. Importantly, this leveraging of our operating expenses has resulted in improvements in our operating margin, which we expect to continue to see in Q4. Our operating margin for Q3 was negative 119%, compared to negative 141% for Q3 of 2014. On a rolling 12 month basis, our operating margin was negative 122%, compared to negative 177% for the previous 12 months. The 55 percentage point improvement in our operating margin is primarily associated with the growth in sales, improvement in our gross margins and our operating expenses growing at a much slower rate compared to our sales growth. With respect to cash and cash flows, at the end of Q3, our cash and investment balance was approximately $84 million. Our cash and investments during Q3 decreased sequentially by $16 million. In Q2, our cash decreased by $19 million. Included in our Q3 uses of cash was the $1 million Dexcom payment and approximately $600,000 associated with t:slim G4 launch activity. Moving onto guidance, we are updating our previous guidance with respect to total sales in the operating margin for 2015. We still expect our full year 2015 sales will be in the range of $70 million to $75 million for all products. This represents an annual sales growth of 41% to 51%, compared to 2014. Included in the guidance our t:flex pump sales are $4 million to $6 million. As it’s still early in the t:slim G4 launch and with the high level of customer interest in the new pump addition we’ve discussed, especially in September and October, we cannot estimate the incremental contribution of t:slim G4 versus its cannibalization of t:slim at this time. We do expect that t:slim G4 will represent the largest percentage of our pump shipments in Q4. As a reminder, the ASP in gross margins for t:slim, t:slim G4, and t:flex are similar because they are built using the same insurance codes and utilize the same core manufacturing. With the typical seasonal floor of our pump shipments, continued acceptance of the t:flex since its launch in May, and the high level of interest in t:slim G4 since its launch in September, we feel very confident in our ability to capitalize on the availability of our family of pumps during the fourth quarter and achieve our sales guidance range. As a reminder, Q4 sales will include the recognition of approximately 700,000 pump sales associated with the exchange program. Moving on, we’re updating our operating margin expectations for 2015 to be in the range of negative 95% to negative 105%. Previously we provided a guidance range of negative 100% to negative 110%. This includes non-cash stock-based compensation expense. We currently estimate good range from $13 million to $14 million. The primary contributors to the improvement in our operating margin expectations relate to our operating expense management, as well as lower product manufacturing and warranty costs. With respect to our cash, we expect our current cash investments and proceeds on the exercise of options and warrants will continue to be sufficient for operating needs for at least the next 12 months. Key factors influencing our cash flow expectations and ultimately our profitability timeline and potential capital needs includes the following, territory productivity, our ability to secure regulatory approvals and successfully commercialize potential new products, and our ability to gain leverage within our operations as sales expands and our new products gain market acceptance. This is especially important in 2016 as our sales force will have t:slim, t:flex, and t:slim G4 to provide healthcare providers with diverse product choices that shares a common, easy-to-use interface. We also expect to see our gross margin trajectory increase as our sales increases, and that we'll reach our long-term goal of 60% gross margins in three to five years. Where we fall within this range is highly dependent on the key factors I just outlined that impact cash flow expectations. As much of our manufacturing infrastructure is designed to service t:slim, t:flex, and t:slim G4, increasing manufacturing volumes through organic growth or through incremental volume supplied by the new products should have a positive impact on our overall gross margin. And with that I’ll turn it back over to Kim.
Kim Blickenstaff: Thanks John. I’d like to provide a few other updates on our products and development. I mentioned previously that we will be filing a 510(k) for a lower age indication for t:slim by year-end. We are pleased to report that we’re also planning to submit for a lower age indication for t:slim G4 in the first half of 2016. The other products enhancement we were working on is for t:connect. As a reminder t:connect is our state-of-the-art Mac and PC compatible data management software that provides Tandem pump users and their healthcare providers a fast, easy, and visual way to display data from the pump and supported blood glucose meters. It has been continuously greater than number one consumer software and independent customer survey and now the family of product is available in more than 27,000 customers [who want to enhance to experienced healthcare providers have] with our t:connect offering. In the first half of 2016, we plan to launch our t:connect [indiscernible] which will offer subscribers features they’ve been asked for such as different reporting capabilities and streamlining to access to multi-patient data. It is a project that our development group has been working on behind the scenes and that we are excited to introduce to ACP, the additional value-add to their practices. Our R&D team also continues to make great progress on our AP efforts. In Q3, we met with the FDA regarding our pre-IDE submission, which provided an insight on our first commercial AP product design and clinical trial protocol. Our next step will be a feasibility study followed by a pivotal study in the regulatory submission for our first generation AP product. This product will be an integrated t:slim with CGM pump that will automate insulin delivery based on predictive hypoglycaemia algorithm. We’re on track to submit an IVE to the FDA for feasibility study by year-end. Our second generation AP pump will be integrated t:slim with CGM pump featuring both the predictive hypoglycaemia algorithm and a predictive hyperglycemia algorithm. We initially had already completed the studies as far as Gen 1 and Gen 2 AP pump simultaneously, but are working with the FDA for the pre-IDE process. We feel that the sequential development will allow us to begin offering customers to benefit of automated insulin delivery features based on the most accurate CJM available, most quickly. With the strong momentum of our family of pump offerings combined with the exciting additions on our portfolio for 2016, we will recognize the need to further expand our 60 territory sales force. When the process on IVE had an additional 12 territories for a total of 72, which will come on-board over the upcoming months to provide additional field support. Our commercial organization has accomplished an incredible amount since the launch of t:slim in Q3 2012. These efforts have been led by our Executive Vice President and Chief Commercial Officer Bob Anacone. Bob has been with the company since 2009 and you shall see in today’s 8-K, he has decided the time has come to move into retirement. [Timing wise] he will see things through Q4 busy season here, while we continue to build up commercial management team and thereafter we anticipate he will be available for a period if needed to help ensure a smooth transition. On behalf of the full team here, I’d like to express our thanks to Bob for all his efforts and contributions at Tandem, and we wish him well in the future. If I was to characterize a year so far, I’d say he has been one of tremendous account perspective for Tandem. We launched t:slim and t:connect enhancements, as well as two new products with the t:flex and t:slim G4 pumps. We made meaningful progress in advancing our future pipeline, particularly in our AP efforts and we’re well positioned to continue to bringing new products and features to the diabetes community. Operationally, we have also made great strides in increasing our efficiencies, leveraging our infrastructure, or beginning to reduce our cash burn. These are all our key accomplishments, which continue to position us for sustainable long-term growth as a business and as a company dedicated to improving the lives of people with diabetes. With that I’ll turn it over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Rick Wise with Stifel. You may begin.
Rick Wise: Hi Kim, hi everybody, congratulations truly on an excellent quarter in a complicated period here.
Kim Blickenstaff : Thanks.
Rick Wise : There’s so many things to ask, I mean it seems like you are having great momentum with the new products, maybe start with some perspective, you mentioned Kim that, I think opening up of new accounts, help us understand the new accounts you are opening, are you being helped because of the, the three products is it specific to t:slim G4, how many new accounts are you opening, just additional color around that and if you would?
Kim Blickenstaff: Well I can’t quantify and give you a number on the number of new accounts, but I’d definitely say the integration of CGM really is the leader in terms of opening up these new accounts, you have seen products available from Medtronic and then later animus that were integrated and so that was a feature set that we didn’t have. So, this really a land mark for us to be able to offer that product offering. Because it really does open up accounts that were dedicated CGM technology integration fans and we have been able to really play in those accounts. So, we are hopeful that it’s going to being to expand our penetration as we expand our sales territories as well.
Rick Wise : Okay, and maybe John, just turning back to guidance here, you didn’t change your guidance range obviously, but I think I just read you correctly, the product guidance did not assume or include at least as best understood t:slim G4, so does that also did it imply that you are thinking about a 100% cannibalization here or I mean, should we view it, obviously it implies very strong growth, don’t mistake me on that, but it still would seem conservative based on the early launch, the early reaction, new accounts etcetera, how do we think about it?
John Cajigas: Well, I don’t think it assumes a 100% cannibalization, but there is a high level of interest in the t:slim G4, our preliminary orders for September and October that are going through insurance verification now, are highly skewed towards the G4 product and it is the newest product and as Kim mentioned, those are accounts and customers that are looking for that feature that we now are able to offer.
Rick Wise : I hear you, still hard to understand it seems like you got a lot of momentum, the numbers could prove conservative. Just one last question from me, Kim, you are adding 12 territories that makes a ton of sense just, what’s the timing of that, how you’re going to serve stage that or rule that out and obviously in the earlier stage of your evolution you increased territories and it was a little disruptive, should we be concerned how can you sort of re-assure us that we won’t see that same kind of disruption, we will get the good stuff and not the bad stuff? Thank you.
Kim Blickenstaff: Well I think that what we are doing here is sort of filling black holes, areas that are poorly covered, areas that really didn’t have good representation, so we are hoping that we will be able to accomplish the expansion by the end of the first quarter. We are first starting on it now obviously and we would like to have that up and running by the end of the first quarter. We don’t expect to see the kind of disruption that we saw when we nearly doubled the sales force and changed every territory out in that process. So, we think it will be far more additive and less disruptive than the additions we have done in the past.
Rick Wise : And just a quick follow-up, how quickly could those be incremental contributors to the top line, does it take 6 months, 12 months, what should we assume, thanks and I will stop there.
Kim Blickenstaff: Yeah, 6 months to 12 months is a reasonable expectation for them being productive and adding to the top line. I mean that’s part of our goal for increased revenues next year, first line is new products, second line is expansion of the sales force.
Rick Wise : Thanks again.
Operator: Thank you. Our next question is from Tom Gunderson with Piper Jaffray. You may begin.
Tom Gunderson: Hi, good afternoon everybody. I, just to start, couple of clarifications, Rick was talking about the 12 territories, just to make sure we have our words right, these are 12 new territories, commission carrying, not managers, not juniors, this is new territories, is that the way to think of it?
Kim Blickenstaff: Yes, that’s right.
Tom Gunderson: All right and then the other is, I know you got the FDA approval in early September, did you say the 487 is shipped all in the last week of the quarter?
Kim Blickenstaff: That’s correct.
Tom Gunderson: Okay. Then for the question, we’re all going to try and figure out how much is cannibalization and how much is going to be new and you commented quite a bit in your prepared remarks. I’m just wondering as you look at those preliminary orders that come through for t:slim in October, are those maintaining a rate that was within the range that you were expecting given the launch of the other two products? In other words, if we were to look at overall growth rate for t:slim based on the first six months of the year, is that fitting within your expectations as we head into Q4?
Kim Blickenstaff: The percentage of the pump orders that are ranked to the process now are highly skewed towards the Q4 and at this point it’s too early to tell whether that’s pent up demand or if that’s really a continuing trend that we’ll see continuously. The orders for t:slim are generally lower than that so that we just believe that there is some cannibalization going on.
Tom Gunderson: Okay. And then final question, by definition everybody on the call has heard about these products and probably heard about these products for the last six to nine months but that doesn’t mean that all of your customers are as up-to-date particularly because you couldn’t market until after September 09. Can you give us a little feel of what’s happened between 09/09 and 10/09, 20/09 as far as informing the diabetes community about G4?
Kim Blickenstaff: Certainly we had a strong effort in trying to inform our own customers who were in the queue as to the availability of the t:slim G4, so there was a lot of activity there but all I can tell you is that based upon the demand we are seeing from our own customer base, there is a great deal of interest in the product. Obviously in the larger community, the availability of more integrated CGM options is something that is highly in favor of the community and so we hope that’s going to continue to expand demand but I really can’t quantify that for you.
Tom Gunderson: Okay. That’s it from me guys. Thanks.
Kim Blickenstaff: Thank you.
Operator: Thank you. Our next question comes from Ben Andrew with William Blair. You may begin.
Ben Andrew: Good afternoon. Thanks for taking the questions guys. John, can you give us a sense what percentage of the orders went through distributors this quarter as you typically do?
John Cajigas: It was consistent, it’s 77%.
Ben Andrew: Okay, great. And then Kim I thought you said that you’re going to file for the G4 algorithm upgrade in the first half of 2016 is that right?
Kim Blickenstaff: The algorithm upgrade?
Ben Andrew: On the t:slim G4.
Kim Blickenstaff: For AP?
Susan Morrison: For pediatric.
Kim Blickenstaff: Yes, that’s correct.
Ben Andrew: Okay. I missed what that was for. So are you planning to file for the new software algorithm that Dexcom got I guess last fall?
Kim Blickenstaff: No.
Ben Andrew: Okay. And so the next upgrade is just you’re going to go straight to the AP versus anything else on the sensor side?
Kim Blickenstaff: Correct.
Ben Andrew: Okay. That’s helpful. And then just to clarify do you get a place advantage when you sell a t:slim G4 over a t:slim?
Kim Blickenstaff: No, they are build under the same codes among our three products, so there really is no differential in the pricing for us generally.
Ben Andrew: Okay, great. And then it’s like early days as some of the other people we are asking about with the product in the marketplace and you talked about a majority of the pumps being G4 in the fourth quarter. Where should we look for that to be overtime? Is there consensus of all, we know it’s still early but what have you heard back from the user base both patients and physicians?
Kim Blickenstaff: That’s probably really the hardest question to answer really at this point looking forward at what percentage of that base is going to be. The t:slim G4 versus the phase 2 slim and we really don’t have a good handle on that yet which is part of the problem with having good guidance here in the fourth quarter. So we expect to be a high percentage because it has been, so [indiscernible] that people have asked for but I really can’t give any answer on basically quantify it for you.
John Cajigas: I think that longer term that we still believe that t:slim has the advantage as we move towards AP products because of its Bluetooth radio and so the Project Odyssey hopefully will get that approved next year and be able to utilize that capability to bring some added benefits to the t:slim products.
Ben Andrew: Okay. And then Kim if you walk through the timing on the AP project a little more granularity at this time with the hypo and hyper algorithms. Is that just a function of the number of patients in the size of the trials perhaps that FDA would require to do both at once or what was the bad story there?
Kim Blickenstaff: It’s the guidance that we got from the FDA that it was better to do it sequentially than it was to try to do it simultaneously or we haven’t given really any granularity what the studies are but there are decidedly different studies and they are step wise moving towards in home setting and so the revise [ph] that we got from the FDA that we put them up when we do it sequentially.
Ben Andrew: Okay, great. Thank you. That’s it from me.
Kim Blickenstaff: Thanks, Ben.
Operator: Thank you. Our next question is from Doug Schenkel with Cowen and Company. You may begin.
Ryan Blicker: Hi, this is Ryan Blicker filling in for Doug. Thanks for taking my questions. Starting with the pediatric indication expected for next year, do you believe the lack of a pediatric indication to date has been a real bottleneck or doctors have been comfortable offering t:slim to pediatric patients off label.
Kim Blickenstaff: No, I think we have been pretty strict about our marketing guidelines and so we cannot market below the age indication that we had approved. And so I think that maybe obviously since we can’t market it accurately, it doesn’t form the community obviously the availability of its core lower usage. There has been obviously physicians to make choice to prescribe it, but we certainly can’t promote that. So I think it’s a real opportunity for us to do marketing activities that we really stay away from including summer camps and activities where the lower age indication where we weren’t approved were present. So we’ve been hamstrung by the syndication in this. We’ll take that limitation away.
Ryan Blicker: Okay. Thank you. That’s helpful and then shifting to the AP program, it sounds like you made some great progress. Can you provide an update on your search for an algorithm partner and when do this really need to be secured in order to remain on track with your timelines?
Kim Blickenstaff: We haven’t really given the details of who our algorithm partner is and which one we are using. So I can’t really give you any indication on that but we have selected as it part of the protocol that we review with the FDA.
Ryan Blicker: Okay. Thank you. And then last one from me with operating margin. After making some heavy investments in 2014, you‘ve done a great job managing OpEx so far in 2015 both with SG&A and R&D. Moving to 2016 with the sales force expansion you talked about as well as a number of ongoing R&D projects including your AP program, how should we be thinking about OpEx? Should growth here track a bit closer to revenue growth than what we’ve seen in 2014?
John Cajigas: We are not giving 2016 guidance in particular at this time but I can tell you that we are moving towards trying to get to cash flow breakeven and we do expect that our progress that we’ve made on the operating margin line over the last year, year and a half is going to continue into 2016.
Ryan Blicker: Okay. Thank you.
Operator: Thank you. Our next question comes from Tao Levy with Wedbush. You may begin.
Tao Levy: Great, thanks. Good afternoon. So maybe if I could ask a little bit on the September insurance verification that you talked about, do those start to kick in now in the October timeframe in terms of pumps that are shipped?
Kim Blickenstaff: That’s correct.
John Cajigas: Generally it’s a 30 day insurance cycle, sometimes it’s been run a little long with the G4 here because people are also looking to verify their CGM insurance at the same time. So now you are going to two processes at the same time.
Tao Levy: Okay. It sounds that you’ve had one record month and then followed by another record month there, well positioned for the fourth quarter. Is there anything that could do real some of these trends that you’ve seen over the last I guess month?
Kim Blickenstaff: The only question is whether or not what we’ve seen early on in the launch of G4 is a pent up demand that will sort of level out. But we don’t consider that to be a high likelihood. I think we hear obviously a lot of excitement from the customer base, feedback, our sales force is excited to have this attitude to their bag and it is also our seasonal high quarter where we generally see the most of our pumps sold. So I think we are highly confident we are going to hit our guidance range on sales for the year.
Tao Levy: Okay, great. And anything, is there such a thing as g:flex G4?
Kim Blickenstaff: No, there is not.
Tao Levy: Is there a need or do you think in the marketplace?
Kim Blickenstaff: We don’t say there is a need in the marketplace at this point in time, type 2 is generally or not to CGM by using patient population who we really don’t have in the pipeline.
Tao Levy: But you’re saying if I understood your comments earlier on properly, you are actually seeing more uptick in the Type 1 than the Type 2s.
Kim Blickenstaff: Correct.
Tao Levy: Okay. And then just lastly maybe a clarification, when you talked about the sequential clinical trial process that the FDA is asking for the AP program, I think I thought I heard you mentioned that the agency wanted an easy use the most accurate CGM sensor for the second tranche of patients. Are you referring to the G5 and if so when do you start to talk to us about G5 integration with I don’t know which pump it will be, but…
John Cajigas: Right, the integration roll out, we’ll probably give you more guidance on that next quarter. We haven't really disclosed which sensors we are using and in which trial, but we have discussed that with the FDA and we will give you more granularity when we have our next conference call.
Tao Levy: Okay. Great. Thank you very much.
John Cajigas: Thank you.
Operator: Thank you. Our next question is from Jeff Johnson with Robert Baird. You may begin.
Jeff Johnson: Thanks guys, just a couple of questions here. Kim, maybe just on the FDA feedback on the AP, would be interested in hearing why they thought sequential would be better than running them simultaneously as it just ease of looking at the data and I think I heard you it makes sense that you start hypo first but I just want to make sure that’s what I heard correctly?
Kim Blickenstaff: Yes, you heard that correctly. No, the first one is just the feasibility study and the second study is more of a validation study and that’s very typical in clinical trial process with the FDA. So I mean this is sort of the normal standard way they will do about [indiscernible].
Jeff Johnson: But I just want to make sure I’m understanding that you still will be going after hypo indication first and then through a hyper later.
Kim Blickenstaff: That’s correct.
Jeff Johnson: And you will have to get the hypo indication approved before you can start any work on the hyper, is that what the FD&A is telling you?
Kim Blickenstaff: No, we haven’t really talked about that but…
Jeff Johnson: Okay, that’s helpful and then just on t:connect, when that portal goes live in the first half of 2016, just remind me is there any way to monetize anything there? Is that just a selling feature that obviously improves the attractiveness of your offering?
Kim Blickenstaff: It’s the latter. It’s really an added benefit we want to provide our customers and then also the HCPs.
Jeff Johnson: All right, thanks. And then last question John I guess from me is just more than the cash burn rate, I mean it’s come down here in the last quarter I guess even if we adjust for the Dexcom payment, it came down even nicer. It looks like to me you could probably shake out in the mid 60s here for the year on a cash burn rate. As we go into next year, I know you’re not providing guidance but is some of the G 4 t:slim launch costs are still in there, you’re expanding territories and that, is there any way to think about that cash burn rate coming down below $60 million or do we probably need to stay above $60 million just we think about 2016.
Kim Blickenstaff: Again, not really given specifics on 2016 but again with three products going into 2016 versus going into this year we put single product plus we intent to hopefully get some approvals for some other products that we can offer next year that will help our credibility with the customers on the HCPs. I think you will see not only enough lift in sales but gross margins as well as operating margins moving towards that profitability.
Jeff Johnson: Okay, that’s helpful. Thank you.
Operator: Thank you. Our next question comes from Kristen Stewart with Deutsche Bank. Your may begin.
Kristen Stewart: Hi, everybody, hope you’re doing well. Most of my questions have been answered so just a couple of clarifications. Just with respect to the sales guidance for the year, I always have thought that some portion of t:slim G4 had been included. I just wanted to make sure that I understood that correctly when you had answered Rick’s question, he had said that it wasn't – I just want to make sure I understand what was originally 70, 75?
John Cajigas: Sure. In the original guidance we provided at the beginning of the year, Rick was correct in what he understood and that it was 70 to 75 and did not include t:slim G4.
Kristen Stewart: Okay.
John Cajigas: And part of the reason we’re looking at this and not adjusting the guidance is that because it is early in the launch we’re seeing a high interest in t:slim G4. We do see some cannibalization at t:slim product itself, as well as just with the sequential growth expectation is between Q3 and Q4 and what we see in the pipeline we think that’s adequately represented of what we think we can do for the year.
Kristen Stewart: Okay. So you always thought it was going to get approved this year, but never included any incremental revenues for it?
John Cajigas: Correct. Well, the key new assumption is the cannibalization portion of that.
Kristen Stewart: Right.
John Cajigas: Yeah. At the level since we launched.
Kristen Stewart: Got you.
John Cajigas: Now, whether that’s just the pent-up demand, aspect or that’s the continuing trend remains for us to be evaluated.
Kristen Stewart: Okay. So, the earlier approval certainly would enhance your confidence to get certainly to the range?
John Cajigas: Definitely. We are highly confident we’ll be in the range.
Kristen Stewart: Okay. And then can you just walk through again I just wanted to make sure I understand the expansion of territories correctly and the number.
John Cajigas: We intend to have 12 territories.
Kristen Stewart: Okay.
John Cajigas: And we are working on recruiting those today and the timing of one that would come on board is highly depended on when the offers occur, but it’s probably, they will all be on board probably in the next six months and up and running and as Kim mentioned we’d like to see those become highly productive within six to 12 months.
Kristen Stewart: Okay. Perfect. And then just the improvement in the operating loss this year what’s kind of driving that just controlling...
John Cajigas: Obviously there is a sales growth component that you see overall. On the expense side, it really as we put in an infrastructure in place that we’re now beginning to leverage against the sales. I won’t say that we won’t make incremental additions to the operating expense infrastructure as the business grows and we will, but we expect that to be at a much lower rate than our sales growth. Another key aspect is, gross margin is improving as the volume has increased, we are also making improvements that have helped our warranty costs come down and that has also played a big portion of what we have started to see here in the third quarter.
Kristen Stewart: Okay. And no improvements in terms of cost of goods sold for the disposables outside of just the benefits of increased scale?
John Cajigas: There is increased scale. We’re also working on just improving our efficiencies in that process and that’s happening. Those margins are increasing as well.
Kristen Stewart: Okay. Perfect, great, thank you very much and great quarter.
John Cajigas: Thank you.
Operator: Thank you. Our next question is from Ben Haynor with Feltl and Company. You may begin.
Ben Haynor: Good afternoon, everyone. Thanks for taking the questions.
John Cajigas : Hi, Ben.
Ben Haynor: First off, how long was this suspension of shipments, I know you said you suspended them on September 09, was it just the two weeks in total launch on the 23rd or was it shorter or longer?
John Cajigas: What we did was basically when we announced it on the 9th, we suspended shipments for three days, no shipments went out the door at all for any products and we did an outreach to all the customers that opened orders with us and basically informed them that t:slim G4 was available and asked them if they would like us to place hold on their order, while they’ve determined whether or not that new product was something they would like better than the t:slim or the t:flex. And then after that if they had told us immediately that they wanted to stay with their orders we would fulfill that order, but if they wanted time to evaluate it, we would basically put a hold on their order until they came back.
Ben Haynor: Okay. That makes sense. And then a couple of quick ones on R&D expense, first off kind of following on Kristen’s question I think was the Dexcom milestone originally included in guidance?
John Cajigas: Yes.
Ben Haynor: Okay. And then for Q4 would you expect that the total R&D expense to step down sequentially by about that amount or will some of the other development efforts cause the decline to be somewhat less there?
Kim Blickenstaff: I think there will be a step down equivalent to that milestone payment. There will be some nominal increases in R&D as activity increases with the project that we are working on, but nothing extravagant.
Ben Haynor: Okay. Great. Thank you very much.
Kim Blickenstaff: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Bob Hopkins with Bank of America. You may begin.
Bob Hopkins: Thanks and good afternoon.
Kim Blickenstaff: Hi, Bob.
Susan Morrison: Hi, Bob.
Bob Hopkins: Hey guys, two quick questions. First, I’m sorry if I missed this, but can you give us a sense as to trends in terms of percentage of pump sales coming from wins over competitors versus MDI conversions, I’m not sure how closely you’re able to track that, but just curious as to trends in the quarter on that regard?
Kim Blickenstaff: The trend continues to be consistent. We’re continuously right around 50% of our business coming from conversions from competitor pumps and 50% due to pump therapy MDIs.
Bob Hopkins: Okay. And that’s been pretty similar to the last few quarters?
Kim Blickenstaff: Definitely, that trend has been there for a while.
Bob Hopkins: Okay, and the other quick thing I wanted to ask about is just, the consensus I believe is a little over $100 million for you guys for next year in revenues and you will talk about this more later, I realize, but I am just wondering are there any thing that you would have us consider either positive or negative for next year, obviously a lot of the disclosures today seem quite encouraging, suggesting that number might be pretty conservative. So, I just wonder if there is some things that at this point without giving specific guidance you would have us consider as we think about modeling for 2016.
Kim Blickenstaff: Well, I will say that. We will go into 2016 with the three pump offerings that we have - that we didn’t have here at the beginning of this year, we had just t-slim and so us getting t-flex and t-slim G4 approved with the ability to have some experience in 2015 bodes well for us going into 2016. We wouldn’t be adding territories, the 12 territories have been [indiscernible] highly confident that the products that we’re going to sell during 2016 will be utilized by the sales force at a high level and then we will see some time to ramp, but I think 2016 the gross margin line will improve as well. I think from the other thing on the sales line to consider is that 2016 will be the first year in which renewals will become a portion of the business that we can basically go after, so that will be new incremental that we haven’t seen prior to, but that will also be not very much, I think it’s about a 1000 pumps starting in August of next year that we’ll be able to go after, but 2017 that number will jump to close to 6000.
Bob Hopkins: Okay. Great, that’s helpful. That’s all I have. Thank you.
Kim Blickenstaff: Okay. So, thanks Bob.
Operator: Thank you. I am showing no further questions at this time. I’d like to turn the call back over to Mr. Kim Blickenstaff for closing remarks.
Kim Blickenstaff: Okay. Thanks again everyone for joining us today. I’ll give you an update really quick update on two upcoming investor conferences that we’re going to be attending. On November 18, we are presenting at the Stifel Conference in New York City. So we will be there at that conference and then on December 01, we’ll be at the Piper Jaffray Healthcare Conference, which will also be in New York City. So we’ll be travelling to New York. So, thanks again for joining us on today’s call and we look forward to keeping you updated as the company progresses. Thanks for joining us today.
Operator: Ladies and gentlemen, this concludes today’s conference. Thanks for your participation and have a wonderful day.